Operator: Good morning and thank you for standing by. Welcome to Abbott’s Fourth Quarter 2013 Earnings Conference Call. All participants will be able to listen-only until the question-and-answer portion of this call. (Operator Instructions) This call is being recorded by Abbott. With the exception of any participant’s questions asked during the question-and-answer session, the entire call including the question-and-answer session is material copyrighted by Abbott. It cannot be recorded or rebroadcast without Abbott’s expressed written permission. I would now like to introduce Mr. Brian Yoor, Vice President, Investor Relations.
Brian Yoor: Good morning and thank you for joining us. Joining me today on the call will be Miles White, Chairman of the Board and Chief Executive Officer and Tom Freyman, Executive Vice President, Finance and Chief Financial Officer. Miles will provide opening remarks and Tom and I will discuss our performance in more detail. Following our comments, Miles, Tom and I will take your questions. Some statements made today maybe forward-looking for purposes of the Private Securities Litigation Reform Act of 1995, including the expected financial results for 2014. Abbott cautions that these forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those indicated in the forward-looking statements. Economic, competitive, governmental, technological and other factors that may affect Abbott’s operations are discussed in Item 1A Risk Factors to our Annual Report on Securities and Exchange Commission Form 10-K for the year ended December 31, 2012. Abbott undertakes no obligation to release publicly any revisions to forward-looking statements as a result of subsequent events or developments except as required by law. In today’s conference call, as in the past, non-GAAP financial measures will be used to help investors understand Abbott’s ongoing business performance. These non-GAAP financial measures are reconciled with the comparable GAAP financial measures in our earnings release and regulatory filings from today, which will be available on our website at abbott.com. Our commentary on sales growth refers to operational sales growth, which exclude the impact of foreign exchange unless otherwise noted. I will now turn the call over to Miles.
Miles White: Okay, thanks Brian. Good morning. This morning, I will review our 2013 results as well as our outlook for 2014. For the full year 2013, we achieved ongoing earnings per share of $2.01 representing double-digit growth over 2012. At the same time, we returned nearly $2.5 billion to shareholders in the form of dividends and share repurchases and announced a substantial increase in our dividend beginning this year. Strong performance across many of our businesses and operating margin expansion enabled us to deliver on our 2013 expectations despite a few challenges. Similar to other multinationals, we were impacted by a slowdown in several emerging economies as well as by foreign currency. Abbott was also impacted by a supplier recall in the International Nutrition. As I have discussed on our previous earnings calls, we were able to offset these impacts in 2013 in part through selective cost management. At the same time, we executed on our key priorities. We achieved high single-digit sales growth in Diagnostics, vision care and Nutrition, excluding the impact of the supplier recall as well as sequential improvements in our vascular business each quarter of last year. We increased total company emerging market sales by 11%. This was driven by double-digit growth in our Diagnostics, Medical Devices and Nutrition businesses. We completed two acquisitions in medical devices that brought us important best in class technologies to expand our presence in our endovascular and Vision Care businesses. We launched numerous new products including our MitraClip Structural Heart device in the U.S. Muliple innovations in our cataract lens business. They are driving share gains and nearly 70 product launches in nutrition and we expanded our margin significantly in nutrition and diagnostics. As we move into 2014 we will continue to appropriately invest in our businesses to execute on our strategic priorities to drive long term growth. Our ongoing earnings per share of $2.16 to $2.26 calls for double digit growth at the mid-point. However in the first half of the year we will see some carry over effects from foreign exchange and the nutrition supplier recall where we’re making good progress to recover our share. The long term fundamentals of our business are strong and we remain committed to increasing returns to shareholders. In addition to our dividend increase we’re projecting an increase in share repurchase activity. Overall we expect to return more than $3 billion of cash to shareholders in 2014 which Tom will discuss in a few minutes. Moving on to our 2013 results and outlook for the business in 2014. In nutrition as expected fourth quarter sales growth increased low single digits affected by the supplier recall that was initiated in August. The additional marketing investments we made in the third and fourth quarters are supporting our recovery and we’re on track with our expectations to recapture our share in the effected geographies. As we look to 2014 we remain optimistic about our growth prospects in nutrition and we’re well positioned to achieve our strategic priorities. We will further expand global capacity with three new manufacturing facilities that will come online in the U.S., China and India this year. Demand is strong for both adult and pedantic nutrition. We will continue to see productivity from our R&D organization and expect to launch several important innovations in 2014 that will help us gain share and in adult nutrition continue to shape and grow that market. With the combined launch of new products we expect to return to high single digit operational sales growth in nutrition this year as we lap the impact from the supplier recall in the second half of 2014. This will continue to be driven by double-digit growth in emerging markets which we expect to comprise nearly half of nutrition’s total sales by the end of this year. And finally margin improvement which remains a key priority for this business. We expanded operating margin in our nutrition business by nearly 300 basis points in 2013 ending the year at 18.7% of sales. We expect meaningful margin expansion again this year and the business is well on track to reach it's 2015 operating margin target of more than 20% of sales. In established pharmaceuticals fully year sales increased modestly. As we have discussed macroeconomic and market pressures in certain emerging markets impacted EPD more significantly than we had anticipated at the start of last year. At the same time new commercial leadership is working to improve how we execute our branded generic strategy in both emerging markets and developed countries. As I’ve said this will take time and we will be looking for improved momentum in this business heading into next year. Over the next several years we expect continued improvement in EPDs growth as sales in emerging markets become a larger component of this business. Growth rates in emerging markets have been and are expected to continue to be higher from the growth rates of the developed countries and the overall global economy and established pharmaceuticals remains well aligned with the fundamentals driving long term growth for health care and emerging markets. In our Medical Device business which includes our vascular, diabetes care and vision care businesses, sales increased 4% in the fourth quarter. In vascular in 2014 we expect continued improvement over full year 2013 driven by growth in emerging markets and the launch of multiple new products to expand our leading share positions. This includes the U.S. launch of MitraClip our first in class product for the minimally invasive treatment of mitral regurgitation which is the most common heart valve condition in the world. Combined with continued growth outside the U.S. we expect strong double digit growth of MitraClip sales in 2014. And we have the expected launch of the new peripheral stents in our endovascular portfolio and we will continue to expand share with our leading drug eluting product portfolio. We launched the XIENCE Xpedition in August in Japan and we will launch it in China this month. We will also continue to expand share of our bioresorbable vascular scaffold, ABSORB outside of the U.S. at the same time we move it through the development process in several key geographies including the U.S., Japan and China. In Vision Care, sales increased 15% in the quarter driven by accelerating growth in our cataract lens business. This business now represents more than 65% of our vision care sales and has been growing well in excess of market growth rates. We expect double-digit sales growth for this business in 2014 with continued positive momentum from new products. And this includes our TECNIS Toric lens in the U.S., our TECNIS OptiBlue lens in Japan and our new Catalys laser cataract system as well as new product launches we expect early this year. Diagnostics remains one of our most durable growth businesses consistently delivering mid to high single-digit operational sales growth for the past three years. Full year 2013 sales growth of 8% was balanced geographically with double-digit growth in emerging markets and mid-single-digit growth in developed markets. Margin expansion once again exceeded expectations for the full year increasing 300 basis points versus 2012. In 2014, we expect strong performance in Diagnostics as we continue to build momentum in core laboratory diagnostics, increased the penetration of our molecular and point-of-care businesses and expand our presence in emerging markets across all three diagnostics businesses. In our R&D pipeline, we will continue to invest in the development of several new instrument platforms across the diagnostics portfolio that we expect to launch over the next several years. These new systems add new features that are important to our customers such as speed, scalability, productivity and shorter turnaround time. So in summary, as we look to 2014, we again expect double-digit ongoing earnings per share growth. We are on track with our recovery efforts in Nutrition. We are projecting an increase in share repurchases in 2014 following a 57% increase in our dividend announced last October. And as we move into the second half of this year, we expect stronger sales in earnings growth highlighted by a reacceleration in our Nutrition business, continued durable performance in Diagnostics, strong vision care growth and another year of double-digit sales growth in emerging markets. I will now turn the call over to Tom and Brian to discuss 2013 results and the 2014 outlook in more detail. Tom?
Tom Freyman: Thanks Miles. Today, we reported ongoing diluted earnings per share for the fourth quarter of $0.58 in line with our previous guidance range and up more than 20% over the prior year. Sales for the quarter increased 3.3% on an operational basis that is excluding an unfavorable impact of nearly 3% from foreign exchange. As anticipated, fourth quarter sales growth was affected by the supplier recall in our International Nutrition business, which reduced operational sales growth by an estimated 1.5 percentage points in the fourth quarter. Operational sales growth was driven by high single-digit growth in Diagnostics and double-digit growth in vision care. Sales in emerging markets were up at 9% in the quarter on an operational basis. Reported sales which include the impact of exchange were up slightly in the quarter. The fourth quarter adjusted gross margin ratio was 55.4% in line with expectations and up 60 basis points versus the prior year despite a negative impact from exchange of 60 basis points. Ongoing SG&A expense was 28.5% of sales lower than expectations reflecting in part G&A expense reductions. Finally, our adjusted gross margin ratio improved by 160 basis points over the prior year in the quarter. Overall as we look at 2013, we delivered strong ongoing earnings per share growth in line with our initial guidance and up double-digits despite some challenges. We also achieved a number of financial objectives we set out a year ago. Our Diagnostics business expanded its operating margin by 300 basis points and continued to deliver strong top line growth. Our Nutrition business expanded its operating margin by nearly 300 basis points. And overall, we expanded adjusted gross operating – adjusted operating margin by more than 100 basis points. Turning to our outlook for the full year 2014, today, we issued full year ongoing earnings per share guidance of $2.16 to $2.26 reflecting double-digit growth at the midpoint of the range. Before I review our forecasts for sales and P&L line items, I would like to discuss certain factors that are impacting our forecast for 2014 and comparisons for 2013. We achieved our ongoing EPS expectation in 2013 in the face of a negative foreign exchange impacts on sales of approximately 2%. Additionally, the supplier recall in our International Nutrition business impacted EPS by an estimated $0.10 per share in the second half of the year. The effects of these two items on growth would carry into the first half of 2014. In terms of exchange, the yen began a steady decline in the first quarter of 2014 and a number of emerging market currencies similarly weakened beginning late in the second quarter. Both of these events are expected to affect reported results in the first half of 2014 but if current rates were to hold exchange impacts would normalize by the second of 2014. Over the past 12 months we have been assessing how to better align our resources and infrastructure to meet the needs of our business owing to the separation from AbbVie. As I mentioned previously we took some selected G&A expenses out in 2013 and reduced our ongoing SG&A expense ratio from 31.3% of sales in 2012 to 30.6% in 2013. In 2014 as part of our efforts to get our support structure to appropriately levels we will take further actions to reduce our expenses. We expect SG&A expense as a percentage of sales to decline by around 70 basis points in 2014. We continue to update you on these initiatives as appropriate. We project share repurchases in 2014 to exceed $2 billion above the 2013 level. Combined with the 57% increase from the dividend announced last October we plan to again return substantial cash to shareholders in 2014. In 2014 we intend on a onetime basis to repatriate about $2 billion in 2014 earnings generated outside the United States. We expect that the cash taxes due in the U.S. on this one time repatriation will be low as we plan to accelerate utilization of various long term deferred tax assets. This repatriation would result in specified charges to tax and be around $0.40 per share in 2014 of which $0.30 will be non-cash with $0.10 in cash taxes. Turning to our 2014 outlook we’re forecasting operational sales growth in the mid-single digits to the full year 2014. Based on current exchange rates we would expect exchange to have a negative impact of somewhat more than 1% on our full year reported sales that the most significant impact in the first half of the year. This would result in reported sales growth in the low to mid-single digits to the full year 2014. Operational sales growth is expected to be driven by continued strong growth in diagnostics, nutrition and vision care along with an improvement in the growth rate in vascular. We’re also forecasting continued strong growth across our businesses in emerging markets. We expect a high single digit operational sales decline in our diabetes care business driven by reimbursement, reductions and competitive dynamics in the U.S. Brian will go into more detail on the 2014 outlook by business in a few minutes. We forecast on adjusted gross margin ratio of approximately 55% for the full year 2014 which reflect a negative impact of around 90 basis points and the combination of foreign exchange and the effect of the U.S. market conditions and our U.S. Diabetes Care business partially offset by underlying improvements in nutrition, diagnostics and Vision Care. We forecast ongoing R&D somewhat about 6% of sales and ongoing SG&A of approximately 30% of sales for the full year 2014. Overall we expect to expand our full year adjusted operating margin by approximately 60 basis points in 2014. Forecast net interest expense of around $90 million, non-operating income around $10 million. Approximately $50 million of expense on the exchange gain/loss line of the P&L and ongoing tax rate of 19% for the full year of 2014. Finally I would like to review the quarterly outlook for 2014. For the first quarter we’re forecasting ongoing earnings per share of $0.34 to $0.36. As I discussed earlier certain amount of lease will effect sales and earnings comparisons in the first and second quarters of 2014 including the carry over effects of 2013 foreign exchange movements and the 2013 supplier recall on nutrition. We forecast modest operational sales growth in the first quarter and a current exchange rate we would expect a negative impact from exchange of approximately 3% resulting in reported sales down low single digits. We forecast an adjusted gross margin ratio approaching 54% which reflect impact in foreign exchange. The 2013 supplier recall in nutrition and competitive dynamics and diabetes care. We also forecast ongoing SG&A expense around 33.5% of sales and R&D expense approaching 7% of sales in the first quarter. For the second quarter, we are forecasting ongoing earnings per share of $0.49 to $0.51. We forecast operational sales growth in the low to mid-single-digits in the second quarter. And at current exchange rates, we would expect a negative impact on foreign exchange of approximately 1.5 percentage points. For the first and second quarter, we project specified items at $0.27 and $0.22 especially reflecting the same items as we identified for the full year in our earnings release. As previously indicated, we expect the pace of both sales and ongoing EPS growth to accelerate in the second half as comparisons become more favorable with operational sales growth in the mid to upper single-digits and steady operating margin expansion. So in summary, we delivered double-digit EPS growth in 2013 and our 2014 outlook reflects double-digit earnings growth at the midpoint of our guidance range driven by improving sales growth in a number of our businesses and expanding operating margin. And with that, I will turn it over to Brian to review the business operating highlights.
Brian Yoor: Thanks Tom. This morning, I will provide a more detailed review of our fourth quarter performance and our 2014 sales outlook. As mentioned earlier, my comments will focus on operational sales growth. I will first discuss our Nutrition business, where global sales increased 1% in the fourth quarter and were impacted as expected by the supplier recall in International Nutrition. The sales disruption is estimated to have reduced global nutritional operational sales growth by approximately $90 million or somewhat more than 5% in the quarter. Global Pediatric Nutrition sales were down 2% in the quarter, including a 3% decline in International Pediatric Nutrition. Excluding the impact of the sales disruption, International Pediatric Nutrition sales would have increased strong double-digits driven by market uptake of new product innovations. While the U.S. Pediatric sales were relatively flat in the quarter, Abbott remains the market leader in the non-WIC segment of the U.S. infant formula market and continues to drive uptake of recent innovation launches. Global Adult Nutrition sales increased 5% in the quarter with international adult sales increasing 14% driven by strong growth of our Ensure and Glucerna brands along with execution of several market development initiatives. U.S. Adult Nutrition sales were down 5% impacted by the exit from certain non-core business lines as part of our margin improvement initiative as well as higher sales in 2012 from the timing of a new product launch. We continue to focus on innovation in our global nutrition business. In 2014, we anticipate several important programs to drive share gains in Pediatric Nutrition and category expansion in Adult Nutrition, where Abbott holds the global leadership position. This includes the recent launch of Similac’s Triple [ph] Pack in the online market segment in China, which brings Abbott’s best-in-class packaging solution to this large and rapidly growing segment of the infant formula market. At the same time, we continued to expand our manufacturing and R&D presence to be closer to our customers. As Miles mentioned, three new manufacturing facilities will come online this year, including plants in China and India. In addition, we are investing in local R&D and recently opened a R&D center in China and broke ground on a new pilot plant in Singapore. As a result of these efforts, we expect our R&D resources based in emerging markets to grow more than 30% over the next few years. For the full year 2014, we are forecasting high single-digit sales growth on an operational basis for our Global Nutrition business. We are on track with our recovery efforts in the geographies affected by the supplier recall and forecast low double-digit operational sales growth in the International Nutrition. As Tom mentioned, we will see a first half carryover effect of the supplier recall. And for the first quarter, we are forecasting a low single-digit sales decline on an operational basis for our Global Nutrition business. In our Diagnostics business, we achieved nearly 9% sales growth in the fourth quarter, including mid-teens growth in emerging markets. Core laboratory diagnostic sales increased more than 9% in the fourth quarter driven by continued above market performance in both developed and emerging markets. This business continues to execute on its commercial strategy to deliver total solutions that are efficient, flexible and cost effective to large healthcare customers. In Molecular Diagnostics, worldwide sales increased 1% in the fourth quarter with international sales up 10% led by strong growth in infectious disease platforms and geographic expansion in emerging markets. In point of care diagnostics worldwide sales increased 14% driven by continued growth in the U.S. hospital and physician office lab segments as well as a double digit growth in emerging markets. In 2014 we expect to again deliver above market performance in global diagnostics. In core laboratory diagnostics will continue to broaden our ARCHITECT assay menu and execute on our commercial strategies in both developed and emerging markets such as China, Brazil and Russia. We also expect continued double digit growth in our infectious disease business in molecular diagnostics and continue market penetration with our point of care platform with double digit growth in emerging markets across all three businesses. At the same time we will continue development of several next generation platforms that are designed to positively impact point of [ph] care, improve service to customers, enhance laboratory productivity and reduce cost. For the full year 2014 we expect our global diagnostics business to generate mid to high single digit operational sales growth. With mid-to-high single digit growth in Core Laboratory and molecular diagnostics and double digit growth in point of care diagnostics. For the first quarter we are forecasting low to mid-single digit operational sales growth in our global diagnostics business. In our status pharmaceuticals business or EPD, sales increased in the quarter modestly. Sales growth in our key emerging market segment increased 10% in the quarter led by strong growth in Russia, China and Brazil. We continue to focus on broadening our core therapeutic area product portfolios, strengthening our commercial capabilities and implementing tailored strategies to accelerate growth in emerging markets. Sales growth in our developed and other market segment decreased 7% in the quarter and continues to be impacted by market conditions particularly in Western Europe. As we look ahead to full year 2014 for EPD we expect low single digit operational sales growth as we build momentum over the course of the year. Given that 100% of EPD sales are outside of the U.S. this business is relatively more impacted by exchange movements. But we would expect sales to be relatively flat on a reported basis. In the first quarter of 2014 we’re forecasting sales to be relatively flat on an operational basis which includes the timing impact from a plant shutdown to expand capacity in order to meet increasing demand for one of our key products in the emerging markets. Including the impact of foreign exchange we expect first quarter reported sales to be down mid-single digits. And lastly Medical Devices, which includes our vascular diabetes care and Vision Care businesses. Sales growth in Medical Devices increased 4% in the fourth quarter. Our vascular business achieved another quarter of sequential improvement in it's growth rates, the worldwide sales up nearly 4%. International sales increased more than 5% driven by continued momentum across key geographies of XIENCE Xpedition and ABSORB. Double digit sales growth of MitraClip and strong performance of our endovascular portfolio. The U.S. sales increased 1% in the fourth quarter. In 2014 we expect continued sales growth improvement in endovascular business driven by a number of new product launches including MitraClip. The approval and launch of a new peripheral stent in our endovascular portfolio and a continued growth of ABSORB. We continue to move ABSORB through the development process in several key geographies. Most recently we completed an enrollment in our ABSORB trial in Japan and we’re on track to complete enrollment in China and the U.S. in the first half of this year. For the full year 2014 we expect sales in our global vascular business to increase in the low to mid-single digits on an operational basis with low to mid-single digit growth in the first quarter. In Diabetes Care, global sales in the fourth quarter decreased 3.5% impacted by implementation of the competitive bidding program for Medicare patients. International sales which represent 60% of total diabetes care sales increased 4% in the quarter driven by strong performance in the emerging markets. For the full year 2014 we forecast a high single digit decline in global diabetes care on an operational basis. In our international diabetes care business we expect similar performance to 2013 driven by continued double digit growth in emerging markets. This will be offset by an expected decline in the U.S. impacted by reimbursement reductions and competitive dynamics resulting in a low double-digit operational sales decline for our global diabetes care business in the first half of 2014. In vision care, we achieved nearly 15% sales growth in the fourth quarter with balanced double-digit growth in both emerging and developed markets. Sales of cataract products increased strong double-digits outpacing the global cataract markets driven by the continued uptake of recently launched products. These new intraocular lenses or IOLs provide Abbott with access to large and growing segments of the cataract market where we weren’t previously competing. We expect continued strong growth in our vision care business this year as we continued to introduce new products. This includes the launch of new preloaded IOLs, which improved the ease-of-use for the cataract surgeons as well as the further penetration of our new Catalys laser cataract system, which is receiving very positive feedback. For the full year 2014, we forecast double-digit operational sales growth in our global vision care business with mid to high single-digit growth in the first quarter. In summary, we achieved our expectations for 2013 including double-digit ongoing earnings per share growth, a more than 100 basis point improvement in adjusted operating margin and numerous new product launches. In 2014, we are well positioned to deliver another year of double-digit ongoing earnings per share growth with accelerated growth in the second half of the year. We will now open the call for questions.
Operator: Thank you. (Operator Instructions) Our first question today is from Mike Weinstein from JPMC.
Mike Weinstein: Good morning. Can you hear me okay?
Miles White: Yes.
Mike Weinstein: Okay perfect. Okay. Let me start with the combination repatriation and buyback. Tom, it looks like you are, if I am reading the press release correctly, you are repatriating $2 billion, there is going to be with a cash and non-cash costs doing so? And then we are using that to buy back stock, which are passing out the impact of repatriating from your earnings and your guidance for 2014? Is that right?
Tom Freyman: Just a few points, I don’t think you can directly link the two items, but certainly what this is about Mike is monetizing assets as early as we possibly can and providing strategic flexibility from a financing perspective across the company. We are in a position here where we have these deferred tax assets that as you know typically get realized over a long period of time in future tax returns. And this is an opportunity to immediately use them to help monetize and bring back only 2014 earnings. This has nothing to do with anything in the past and provide that cash here in the U.S. for strategic flexibility and the various things we would want to use it for. So since it is one-time in nature it’s going to be done only on 2014 earnings and this is a one-time opportunity to monetize these deferred assets. That’s why we are handling it as a specified item in 2014.
Mike Weinstein: But you are repatriating $2 billion and you are using $2 billion to buy back stock, but you are backing out the – at least the cash impact you would think should go through the income statement?
Tom Freyman: But again, it’s one-time in nature, Mike. Our pattern in the past has been to reinvest our expectation as we go forward beyond 2014 is to reinvest these foreign earnings. And this is a one-time opportunity, where basically the focus is to monetize these assets as early as we possibly can and allow them to be redirected to whatever product of use whether its strategic initiatives, share buyback or whatever. And the other thing I had mentioned is in 2013, we bought back over $1.5 billion in shares though it’s not a – it’s difficult to directly link this planned action with share repurchase. But I think it’s a matter of just productively using these assets in the best way possible for shareholders overall and we think this is an opportunity we want to capitalize on in 2014.
Mike Weinstein: Okay. It’s probably we are spending a few minutes on the first quarter guidance, because obviously there is a disconnect between the guidance in the industry. I’m kind of new industry [ph] this thing was aggressive but there is still even a wider disconnect than we were modeling. So maybe spend a minute on some of the different elements here. I think we’re aware that if that was the headwind but you talked about couple of other items an issue where you are breaking [ph] a plant down. Maybe you can just walk through and maybe try and help us bridge (indiscernible) is that and where you’re guys heading for the first part of the year?
Tom Freyman: Really Mike there are two big things are effects [ph] but obviously the nutrition supplier recall was well I mean you saw the impact on the third and fourth quarters of our 2013 results. As you know we managed through that quite well and delivered on expectations overall but that factor is tearing into the first half. As Miles mentioned we’re making good progress, recovering, we’re right on the path, we projected. But as we said from the very beginning when this occurred this is going to cause a very top first half comparison in 2014 and that’s what you’re seeing. You know there are at the business level other relatively smaller comparison issues but these really are the two big factors that are causing the first quarter to be tough. The last thing I would add is while you know exchange is a challenge for us in 2014 and the first half. The first quarter is particularly impacted in 2014 because as the exchange rates moved in 2013 some of those costs are an inventory as we close out 2013 and float through the P&L in the early part of the year in 2014. So the exchange impact is particularly acute in the first quarter and I think those two factors really are the main reasons for the forecast being a little bit different than what people are expecting.
Mike Weinstein: Just on the early first quarter top line growth. It sounded like you were guiding to a constant currency that would be low single digit since you were anticipating a low single digit decline in recorded revenues. Just help us with from the fourth quarter to the first quarter what gets a little bit more difficult and then I will drop. Thanks.
Miles White: It really has to do with trends in the businesses. Certainly as we talked about the growth rate in International Nutrition is being impacted by Fonterra by the recall. There are phasing as you know our established pharmaceuticals business is a business that changes from quarter-to-quarter. In the first quarter there is a plan to expand capacity for one of our key products as a result of that we’re, we have to shut down the plant in the quarter and that will draw down some of the sales until we can start the plant up again in the second quarter and get the growth rate going back up in that business. I would say those are the primary reasons. There is some timing effects in diagnostics as well but those were the main reasons why the first quarter is in the range that you described.
Operator: And our next question is from David Lewis from Morgan Stanley.
David Lewis: Tom you gave us some help on the first quarter gross margin number. I wonder if you could help us sort of into the second quarter on gross margins or just maybe more qualitatively first half versus second half, how GMs [ph] likely trend and what are the key headwinds and tailwinds there we should think about obviously FX being one of them.
Tom Freyman: Yeah I would say there are two things going on in gross margin as we look at 2014 are pretty much what I mentioned in my remarks. We’re just slightly down year-over-year and that’s really currency again being challenging and the competitive dynamics we talked about in diabetes care. I think as you look out into the second quarter the pattern or the expectation for the full year could be extrapolated into our expected gross margin progress in the second quarter of the year. So those are really the two main factors, it was not what I mentioned in my remarks and I think it does mask lot of good things happening underneath in the businesses particularly in nutrition and diagnostics but also on Vision Care in terms of expanding the gross margin before some of these exchange in fact hits the businesses.
David Lewis: Okay maybe just two more quick ones. Just one for Tom and one maybe for Miles but in terms of the buyback you’re very clear on how you’re funding the buyback this year but Tom could you give us a sense of free cash in ’14 and how we should think about funding dividends or buybacks you know either through using debt or patronization going forward.
Tom Freyman: Yeah I mean as we look at free cash flow capital expenditures and dividends. And as you know, we are stepping up the dividend in 2014. I would say in the $1.7 billion to $1.8 billion range was something we would expect. And that leaves a lot of strategic flexibility for whatever might occur or opportunities that might pop up during the year. So as you know, we had some anomalies in our cash flow in 2013 relative to the carryover effect of separation, but we should be back into that pretty strong operating cash flow level and strong free cash flow to support the strategic objectives of the business.
David Lewis: Okay. And then Miles, you made some commentary in your remarks about the going after costs and Tom talked about the leverage we are going to see in ‘14 I mean, the company since the spin as talked about on a per segment basis achieve very strong margins, obviously Nutritionals comes to light, but do you see further opportunities for going after corporate costs post the spin and is it likely that those type of initiatives are more ratable or is there a possibility for more decisive action? Thank you.
Miles White: Well, I think the answer – the simple answer to your question is yes, it is a focus for us not just related to the spin, but in general, related to the shape of the business. A lot of our business is outside the U.S. and so there is an opportunity to structure ourselves from a support standpoint little differently. And we definitely were addressing that. We are putting a fair amount yet. As you know, we put a lot of attention on gross margin above the line there, but we are also putting a fair amount of attention on general and administrative costs across the corporation not only at the corporate level, but in the divisions in support and overhead costs. So I do think there is opportunity there. By its very nature some of it can be more immediate, but then some of it is more ratable, because in some cases you got to replace old processes with new processes or old systems with newer ones, etcetera. So I think it’s a combination of both, David. Although I like to push hard for sooner rather than later, I think this is one of those areas where chronic dissatisfaction or inpatients is a good thing. And so we push on that. You are always trying to balance disruption to the organization or to the business versus the ongoing operation, but yes, there is an opportunity. We are on it. We are paying attention to it. And it is a combination of frankly both immediate and more ratable.
David Lewis: Okay, thank you very much.
Operator: Thank you. Our next question is from David Roman from Goldman Sachs.
David Roman: Thank you and good morning. I wanted to touch a couple of business specific dynamics and then one strategic question. I guess maybe we can start with EPD and Miles I can certainly appreciate your comments that it may take time for a new management team to get in place and affect their impact on the business, but maybe you could go into a little bit more specifics about what the path is for that franchise. So I look at the non-key emerging market segment that has been a business that’s been deteriorating, I think each of the past several quarters and it doesn’t – it’s sort of I think a little bit unclear given how this business works what exactly turns this around. So maybe you could just provide a little bit more color on what steps the new management team is taking and then how we would see those flow through into reported numbers?
Miles White: Well, I think we got two very different stories here. And as I have said in the past, you’ve got very much an emerging market story and a developed market story and then within those, some segmentation. I would tell you that in the emerging markets, there are many that are very attractive, some that are less so, because they may be more commodity oriented than brand oriented. We tend to be focused on the ones where it’s advantageous for us to be very brand-oriented and the markets are very attractive and profitable. As much as the growth rates may look modest or lacking, the profit profile of this business is quite attractive. Gross margins in this business are above 60%. It’s a very well-run business. It’s a very attractive profitable business. If it was an unprofitable business, it would be a whole different story, but this is actually a very attractive business. And the question is getting the segments right in terms of the attractive markets and those that are less attractive. So we put our focus on emerging markets that are sizable, where we have got critical mass and are attractive. And our main focus there is two things. One, expanding the breadth of the therapeutic categories and the product lines that we are offering and frankly improving our branding and consumer skills as an adjunct to that business, because in any given country how we reach the consumer whether through the physician on hospital or direct to the consumer and so forth does make a difference. So in the emerging markets I think that’s the focus and it’s getting a lot of attention. It’s a lot of blocking and tackling and smaller things but frankly it's working. We saw in the fourth quarter a returned double digit growth in emerging markets for EPD which is what I frankly expect. We know that some of those markets slowed last year as a function of the markets but the growth rates were still quite attractive to us relative to other geographies around the world. On the developed market side I think the single biggest difficulty that we and a lot of our competitors face is Europe and I think that’s true across a lot of businesses. Our diagnostics business has weathered the economy and the actions in Europe as well but a lot of other businesses are struggling with Europe and I think that’s true for us. I think it's true for our competitors. We have watched I can’t say growth rates it's more like decline rates, price pressures and volume rates and so forth and I know that others have been you know hit harder than we have but nevertheless we’re down in these developed markets about 10% and you know so we can be up 10% and emerging markets down in the developed markets and it's sort of cancels out. I like these emerging markets to keep growing and get to be a much bigger portion but we have got very close to a 50-50 split right now where what we’re struggling within in developed markets with price and utilization cuts and other things is being offset by growth in emerging markets which we intend but the way we deal with those developed markets in quite different. There is fair amount of expense reduction, focus restructuring et cetera. And I know this has been one that you know we have been challenged on from time to time and previous question of Mike Weinstein you know (indiscernible) question I think on this one. I have to say it's a fair question. The emerging part of this is going quite well and the developed part it's uphill. The legacy of the business is you know a combination of businesses we have acquired well Legacy Abbott and so forth. I think if we were starting with a clean sheet of paper we target those markets that have the most attractive attributes but the fact is we have got a lot of legacy markets here in developed economies that we have been in for a long time and they continue to experience economic pressure the most fundamental of those being Europe. So we continue to look at that particular geography and that particular segment of business and deal with it differently than we deal with what we deal with is a fairly attractive growth opportunity in lot of the emerging markets.
David Roman: And maybe switching to diagnostics in the U.S. specifically, can you comment on the molecular business? I mean you’ve pretty strong trends in point of care as well as the Core Lab segment and I would have thought there will be some potential to sort of cross sell or leverage to different platforms but it was a pretty tough quarter in the U.S. in the molecular segment. Any further detail you can provide on market dynamics or company specific factors?
Brian Yoor: David this is Brian I will kick it off and if Miles can add more color. In the U.S. you know first of all when we say our underlying franchise of infectious disease is growing very strongly. It's doing very well. We did have some comparable’s with respect to how you realize kind of the companion diagnostics revenue. We had some revenue in 2012 in the quarter that did not repeat, this is kind of a little bit more choppy in that respect and also we just have a little bit of an impact from the timing of when we seize the distribution agreement but that doesn’t impact the underlying business. The underlying business is poised to continue to do well with the focus on infectious disease. I think to look at the full year it's probably more reflective of how to think about molecular in the U.S. and we do expect a step-up from that as we move into 2014 with our continued success and focus on infectious disease. I think it's really important to note in this business you know there are two that 60% of the sales are outside the U.S. and you can see the double digit growth there, we’re doing very well in the emerging markets, in our platforms, in infectious disease and so we like the growth rates that we see overall for molecular.
David Roman: Okay and then maybe just last one strategic question. As I look at the evolution of the “new Abbott” story over the past 12 months. I think we started a year ago with sort of a growth company of mid to high single digit top line growth obviously it's a well-documented challenges that emerge over the course of 2013. You had a pretty obviously significant increase in the dividend in the third quarter of this year and it seems like we’re shifting from a growth company to a capital return company. How should we think about the strategic positioning of Abbott longer term and Miles where you’re taking the business, growth first capital return, M&A versus shareholder buybacks and things like that from a capital deployment standpoint?
Miles White: Well I think we think about the company much as we described. It's definitely a growth platform with an intention of growth. You know the things that I would say probably disappointed me or set us back last year largely foreign exchange, which was a big deal. I mean, that hit the top line and the bottom line. And we were able to offset that, but that was one thing. And I think the recall we had in the Nutrition business was couple of $100 million. That’s a big hit. And that particular business is one of our big growth drivers. I would say strategically, I am pretty pleased with how the base core businesses are all performing, particularly relative to the nature of the geographies and economies and so forth out there. I think that’s all trending pretty well. The one business where it’s got a lot of my attention and focus as we just talked about is the branded generic pharmaceutical business, where I would say strategically I would like this one to be improving faster. And what I call your attention to is after we acquired AMO, I’d say analysts and some shareholders had a fair amount of skepticism about the performance of that business for some time. And admittedly, it took a few years to pick up momentum there, but today, that business is churning at a fairly steady double-digit growth rate. It’s gaining share. It’s doing quite well. My own impatience would have been that it do that much faster than it did and I am always pushing for faster progress or faster impact in the performance of the business, I guess, not just for your expectations but for my own. And yet, we got to where we wanted to be. We have seen – we saw with the vascular business, terrific performance. We have seen steady quarter-to-quarter sequential improvements. We have gained share in the vascular business across the board. Every geography, we are number one in the stent business around the world. The AMO business is doing exceptionally well that way. Diagnostics has had a very steady sequential track record of improving growth. The frustration I had got is the pace of that improvement in EPD right now and it’s got the focus of our management team and my focus. It’s the only place I am really – I guess strategically a little frustrated, but a lot of that has to do with the nature of the developed economies. And I think you are going to hear that from a lot of our competitors and a lot of other businesses. So I would say, first of all, in no way do I think we are stepping away from an intention of growth or focus on growth or focus on share gain or a focus on geographies, where the dynamics are frankly around growth. I think that’s all still very valid, very true. At the same time, we and other companies well run, we accumulate a fair amount of cash. And our investors are looking for a return. And I think if we are not able to deploy some of that cash to strategic opportunities or we disproportionately accumulate cash relative to strategic opportunities, we look at the shape of our balance sheet, we look at the shape of all of that. And I think if investors – we have got the attention between the long-term and of course the quarter. And each quarter, when we got to report to our investors how we are doing, but I think also investors would like the constant feedback of a healthy return, particularly in uncertain economies in uncertain time. Our company has had a history for probably more than 30 years of very steady dividend growth and return to investors that’s got a certain identity and a certain appeal to a lot of investors. And we have had a fairly steady track record of share repurchase. We have had a steady track record of pretty significant profitability and cash accumulation and cash generation. We have had a good track record with M&A and other things. And I think we try to keep all that in balance so that our investors are benefiting both from the growth profile over the long-term and a good healthy cash return when economies are more uncertain and on a steady reliable basis. So I would tell you I don’t think it’s black and white you are not one or the other, we happen to be both. That’s been the hallmark of the company for decades that we have been a growth vehicle. And we have had a nice healthy cash return of dividends and share buyback. And I think if we are successful, profitable generating that kind of cash, that’s what we ought to do is find that balance.
David Roman: Okay, that’s helpful perspective. Thank you.
Operator: Thank you. Our next question is from Lawrence Biegelsen from Wells Fargo Securities.
Lawrence Biegelsen: Good morning. Thanks for taking the question. Let me start on EPD, Miles, on the last call, you expressed your commitment to the business. I guess, I am wondering within EPD I mean you are obviously more excited about the emerging market opportunity. Do you need to have an EPD business in the developed market? That’s my first question.
Miles White: Need? No. It depends; I think it depends on the dynamics in any given market. I don’t think any of us are pleased with the pressures or decline if you will of growth rates in say Europe but at the same time Larry it's extremely profitable business even with all the price pressure, utilization pressure and volume pressure. It's a very profitable business. So I think our challenge is it's always how long will these circumstances last. How long will these dynamics last? Is this a trend that doesn’t change? Is there a bottom? Is there a turn? Is there, how long does this endure? And what’s the best matter for us to drive best value for our owners, our investors, our shareholders in that time. You can get hung up on the optics of growth rate and say, Geez it's hurting, it's diluting my growth rate but at the same time I think the notion that it's making a fair amount of money and it's profitable and there is value in that. So I think our job is to figure out best way to optimally derive that value for our investor and that’s a trade-off between what we can do here over some duration of time relative to how long we expect market conditions to exist or you know what’s the best deployment of the asset value you know in the event we can drive the right value forward but when it's profitable as it is that’s a tough trade-off.
Lawrence Biegelsen: It's helpful and then on adult nutrition, can you talk about the impact of the divestures and any quantification when that lapse in the adult nutrition business in the U.S.? Thanks.
Brian Yoor: Larry this is Brian, you’re seeing in the fourth quarter on the adult segment in the U.S. around a 4 percentage point impact headwind and that also does spill into the first quarter as well. As we’re talking about you know some of the things impacting first quarter that will be one item that spills into the first quarter of 2014 as well for the U.S. adult segment and nutrition.
Operator: Thank you. Our next question is from Glenn Novarro from RBC Capital Markets.
Glenn Novarro: Two questions first on the infant nutritional business, you mentioned on the call that the recovery in emerging markets China et cetera was on track. I was wondering if you could share with us some evidence that suggest that things are on track was December better than November, is there a script data that you’re tracking? Any color that would be helpful to give us confidence that the business recovers other than just from easy comps and then as a follow-up…
Miles White: Go ahead Glenn I’m chuckling a little bit because I’m thinking no we just made this stuff up. Of course I will answer you in just a second, go ahead.
Glenn Novarro: And then just second just on operating margin goals, it looks like you’re going to get to the nutritional operating margin goals sooner than expected and it looks like diagnostics we’re going to hit those goals quickly too. So, I’m wondering as we look at nutritionals is 25% a realistic new goal and with respect to diagnostics are we in the late innings or is there another opportunity for more expansion there? Just you know qualitatively if you can help us think about the longer term goals there. Thanks.
Miles White: All right let me go back to the beginning. First of all evidence of recovery. You know there is three major geographies that we’re paying a lot of attention to in the recovery this recall that we experienced in nutrition. It's China, Vietnam and Saudi Arabia all of which are fairly important markets to us. We do get market share data; we get it from multiple sources in these countries. We get off take data meaning what leaves the shelf we get a fair amount of actually measured data. We get it from multiple sources and then we get a fair amount of anecdotal data as well. And we do track it, it is numerical, it is measurable. We’re seeing sequential month to month, in fact we got a fairly I would say robust model that’s been pretty accurate for us that’s predictive, that takes into account holidays, buying patterns, consumer patterns all that stuff. Believe it or not in all these markets so we can do that. And there is a bit of a lag maybe a month or month and a half in some cases but and it varies by geography but we’re able to measure our progress. We’re ahead of our progress in China, our model; we’re ahead of our expectation. We’re ahead of our expectation. We are ahead of our expectation in Vietnam and we are a little behind in Saudi Arabia. And so we are able to measure that. We are able to see sequential evidence. We have got enough data points now that we can trust our forecasting, trust our model, trust our data, trust our feedback. Early, mid and late fall, we didn’t have enough data points yet to be confident of the kind of trends we were seeing, because there is some, not cyclicality, but there is some up and down in the trends depending on holidays and other things. And we have seen enough of that now. We have had enough months of recovery that we can pretty reliably forecast for ourselves and for you how we will recover in the various countries. So I would say, yes, there is definite evidence, definite data. We definitely can see it and I am pleased by what I see. Frankly, I think our teams in those countries are doing an excellent job. It gives us not only data about us, but data about segments, data about competitors etcetera and what we – how we believe all of that’s going. So I am pleased with what I see. With regard to operating margin goals or even gross margin goals, I’d say for diagnostics late innings, I think there is a point where even if we could do better, I am not sure I would want to. I would always look for improvements in gross margin, but then you have discretionary spending in R&D or sales and marketing expenses etcetera that then get down to operating margin. And I’d say in the diagnostics business, I’d say late innings because I’d like to be putting more and more into R&D there. I think we have got a nice model from a sales and marketing standpoint, but as you know in the diagnostics businesses, we have got half a dozen systems, major systems in developments and these are expensive programs, all of which are tracking very well as we renew the system platforms that are in the markets. Over the next five, six years here, there is going to be a steady drumbeat of new product coming that’s going to drive the growth of this business globally on top of the installed base we already have. And I think that those are very important initiatives. So I’d like to be putting money into R&D and that’s not to say or more money into R&D. That’s not to say you should expect any kind of diminishment in bottom line, you should not. But I would like to be improving the gross margin in order to be able to invest more in what we would call discretionary spending in R&D and maybe even SG&A. So I would say that one. What we have managed profitability I think brilliantly and yes, they are ahead of schedule. I think it’s delivered for the investor, the shareholder and the business. And strategically, it also needs to be reinvesting in itself as we go along which it’s doing and I think it’s found the nice balance. On Nutritionals, I think there is still a lot of opportunity. And I would not go so far as to set a specific numerical target for you as ambitious as you might be, but I would probably say the same thing we are always looking to improve our gross margin and to the extent that drops through to the bottom line, that business is not as expense intensive in R&D. R&D doesn’t cost as much as a percent of sales. And so it’s a highly productive R&D organization in terms of new product development, new product innovation etcetera. And it’s got a low percentage of sales spend on R&D. It’s much more SG&A or marketing intensive. If I were going to spend more money promoting that business, I do it with sales and marketing lines. And I think that as the gross margin continues to improve there, which I expect it will substantially, I think there will be a sharing between dropping it to the bottom line for the investor and reinvesting further in sales and marketing and expansion, because there is so much opportunity, particularly internationally for this business. So I think that’s about how I would characterize that I do expect to continue to see margin expansion there. And I would say that these businesses in particular, all the businesses will put a fair amount of focus on margin expansion and they have gotten it. And you have seen that in the gross margin line in our reporting. You have also seen exchange, foreign exchange erode some of that or in some businesses like the vascular business while they have had great improvement also in gross margin and yields and productivity. We have also seen price pressures that they have had to absorb. And I think that the fact that under some of the pricing and utilization pressures we have seen in Europe and other geographies and some of our businesses over the last several years and particularly last year, the margin improvement initiatives that we have had, had not only mitigated that, but continued to improve margin anyway. So I think there is more to come.
Glenn Novarro: Alright, great. Thanks for the color, Miles.
Operator: Thank you. Our next question is from Rick Wise from Stifel.
Rick Wise: Good morning everybody. Tom, if I could ask you again on gross margin. So the 55% gross margin guidance you said included 90 basis points of negative FX, the diabetes and other offsets. Was that I assume that plant shut down is reflected in that as well. Can you break that portion out just more specifically?
Tom Freyman: The plant shut down I referred to is just a timing issue that’s effecting the gaining of sales that I want in particular business between the quarters. So that is really I mean certainly there is a little bit of startup and alike but it's not meaningful to the overall corporation but that really is not related. It's really the two big factors that we cited as lot of good things as Miles mentioned going on within the business is underlying and being a little bit offset, they are largely offset by those two factors.
Glenn Novarro: Okay (indiscernible) it's part of the gross margin headwinds when I call temporary excess capacity from the three new nutritional facilities, is that a big factor?
Tom Freyman: No there is a little bit of a startup there as well but again I don’t think that’s overall meaningful to the overall comparison year-over-year for the entire corporation. Certainly there is some cost in there but they have a lot of other good things going on in terms of their margin improvement programs that overall are driving an improvement in the nutrition gross margin in 2014.
Glenn Novarro: And one last quick one, the buyback, is that gets you to the middle of your guidance range or the high end? How do we think about that and maybe you can kind of whether you do an accelerated share repurchase. Thanks so much.
Tom Freyman: The guidance is the guidance, it's the range and obviously our baseline expectation is to be within the range and if the year goes well it will be in the high end and it's the challenges we’re going to work not to be the low, the middle. So that’s the way we think about the guidance and what I would say is what is a definite part of the plan is to buy back shares roughly in the range we talked about today and certainly that’s the baseline you can count on as you build your model for 2014 and there is no plan at this time to do an accelerated structure but that’s something we would look at and we will think about.
Operator: Thank you. My next question is from Josh Jennings from Cowen and Company. Josh your line is open please check your mute feature. And we’re sorry we’re getting no response we will move on to the next question. Our next question today is from Kristen Stewart from Deutsche Bank.
Kristen Stewart: Just focusing on the vascular business. I know you had commented on strong growth in MitraClip I was wondering if you would be willing just to provide a baseline number of where it ended this year with European sales and then just thoughts around it as you’re rolling this out in the U.S. just the strategy given the reimbursement environment.
Brian Yoor: MitraClip had strong growth in Europe. I think it ended the year approximately around a $130 million. We expect some additional approvals in certain countries there to continue our growth in Europe so we expect another year of strong growth with MitraClip in Europe region in 2014. Now I will say with respect to the U.S. we were very pleased with the decision that was made by the panel last year to receive the approval that we have for the degenerative mitral regurgitation patient in the U.S. at high risk. It's a pretty I will say modest way to think about but we’re going to take it the right way in terms of how we approach our centers and those large cardiac specialty centers that are capable and have the expertise to work with the MitraClip. Again another year of strong growth I think we can think about probably approaching close to 200 million as we move into 2014 but clearly between the Europe side and the U.S. side a nice contributor to our overall vascular growth. We continue to work towards also the reimbursements and improving our reimbursements there I think we have discussed before that we ultimately foresee this coming more in line with the (indiscernible) line of reimbursement in the U.S. and again I know that (indiscernible) have submitted for the national coverage as well we also submitted for what you know what would also be a special add on technology indication but we will have more color to provide for you on both of those in the later part of 2014.
Kristen Stewart: And then I got just more broadly just in structural heart, how do you just kind of see MitraClip fit again? Do you need to surround it with additional programs to really have that platform be competitive or do you think looking ahead just having a transcatheter mitral valve repair product alone will be successful within Abbott?
Miles White: Kristen, this is Miles. I think it could standalone quite easily, but I think we are always looking for more innovation, the more opportunity to expand our position in a given treatment segment. So I would put up more in the desire rather than need. I think it’s given the lack of therapies out there to treat patients, it clearly can standalone, but to the extent that other therapies evolve over time here, it’s certainly to the benefit of the patient and the business to expand the offering.
Kristen Stewart: Right. And then just on the stent business, I was wondering if you could offer any additional commentary just on the Absorb product, the one you are seeing in terms of market share positioning in the accounts in which you are in? And then just to remind on the timing to the U.S., I think you had mentioned that you expected to complete enrollment in the U.S. study this year. Just wanted to confirm that?
Miles White: Let me address share and then I will hand it to Brian to talk about U.S. First of all, I am very pleased with how the overall shares of the stent business have evolved. We have grown share in all of our geographies. We hold the number one position in stents across Europe, the U.S., Japan etcetera. We have not only held share, but gained share. I think that’s been gratifying for the breadth and the strength and the quality of the product line. I think it’s been a challenging environment to some degree from a competitive or pricing standpoint. I think I expect that to mitigate some here going into this year and we are seeing that as we see sequential improvement in growth at least in our own business. And as regards to Absorb, I think the acceptance, the use of Absorb continues to improve, but share continues to improve and continues to grow in many accounts. And then I would have to note that while the trend has been a fair amount of price degradation in this segment, Absorb is selling at a premium to metal drug-eluting stents etcetera. So it continues to gain share. It continues to gain a share of procedures in accounts where it’s being used. It continues to grow very nicely and do so at some premium to what are truly good quality stents out there in the metal drug-eluding stent category. So with that let me give you to Brian to talk about the U.S.
Brian Yoor: Yes. So Kristen, obviously Absorb had a great contribution as Miles had mentioned to Europe and our share gains there year-over-year. In the U.S. as we are expecting to complete the enrollment in 2014 and that also goes for China as well. We just completed enrollment for Japan. I think the way to think about this too is we are only in half of the market, the worldwide market today if you think about it in terms of being in Europe, but we still have another half of the world to go here. And so by completing the enrollments, we set ourselves out there to be the only one in this kind of technology with the opportunity to continue to penetrate and achieve the workforce status we expected to. We have left time for one more question.
Operator: Thank you. Our final question today is from Jason Bedford from Raymond James.
Jason Bedford: Good morning. Thanks for squeezing me in. Just wanted to revisit an earlier question on EPD, still unclear as to the source of the sluggishness in developed markets, is it increased competition, is it a demand issue, is it price? And then just as a follow-up, can you kind of give us the estimated market growth rates in EPD and if it’s easier you can split it between emerging markets and developed markets?
Miles White: In the developed markets, it’s a little bit of the items you discussed. I mean, price as we have talked about the couple of years, it’s probably been running at a rate twice what it had been prior to maybe 2012 and it has been very low single-digits and has probably doubled for a period of time that seems to be mitigating a little bit as we go forward. And I would say, the balance is basically either austerity in some of the countries, where scripts are actually down or in some cases in our portfolio, a few of our products have, were at the end of lives in Europe. We did have a few of those. We had a few patented products and some of those went off patent. And each one is relatively minor, but that’s been part of what’s going on in the developed world. I would say in terms of market growth rates it depends on markets obviously you know India for us is a key market and while it's slowed probably into the mid-single digit range in 2013, IMS forecast it will be back into that double digit range in 2014 which is a positive for us. I would say overall in the key emerging markets you know we’re seeing basic market growth probably in that mid-single range maybe even a little bit better in a country like Russia for example and I think most investors are familiar that Europe has been a pretty sluggish market overall from a volume perspective and that’s carried over into our business as well.
Jason Bedford: And then just lastly for me, getting back to the discussion on cash repatriation. Do you anticipate that you will be more active with M&A in ’14 than you were in ’13?
Tom Freyman: I think it all depends on the opportunities out there. I don’t feel cash constrained about any of that. I feel more constrained by what I view as a not terribly robust set of opportunities or valuations. I’m always vigilant for opportunities for the company but they got to be good fits strategically and they got to be good valuations.
Brian Yoor: Okay thanks Jason and thank you operator and thank you for all your questions. And that concludes the Abbott Conference Call. A replay of this call will be available after 11 am Central Time today on Abbott's Investor Relations website at www.abbotinvestor.com and after 11 am Central Time via telephone at 203-369-3270, passcode 4627. The audio replay will be available until 4 pm Central Time on Wednesday, February 5th. Thank you for joining us today.
Operator: Thank you. This does conclude today's conference. You may disconnect at this time.